Operator: Good day, and thank you for standing by. Welcome to the Brilliant Earth Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Colin Bourland, Vice President of Strategy, Business Development and Investor Relations. Please go ahead.
Colin Bourland: Thank you, and good morning, everyone. Welcome to the Brilliant Earth Third Quarter 2025 Earnings Conference Call. My name is Colin Bourland, Vice President of Strategy, Business Development and Investor Relations. Joining me today are Beth Gerstein, our Chief Executive Officer; and Jeff Kuo, our Chief Financial Officer. During today's call, management will make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings for a description of the risks that could cause our actual performance and results to differ materially from those expressed or implied in these forward-looking statements. These forward-looking statements reflect our opinion only as of the date of this call, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events unless required by law. Also, during this call, management will refer to certain non-GAAP financial measures. A reconciliation of Brilliant Earth's non-GAAP measures to the comparable GAAP measures is available in today's earnings release, which can be found on the Brilliant Earth Investor Relations website. I'll now turn the call over to Beth.
Beth Gerstein: Good morning, everyone, and thank you for joining us today. As always, we're pleased to share our third quarter results with you, and this quarter is more special than usual as it marks the 20-year anniversary of Brilliant Earth's founding. Two decades ago, Eric Grossberg and I set out to create a company that reimagined our industry with impact at its core. Over the years, we've created industry-leading practices that set new standards for how jewelry is sourced and manufactured. And we have revolutionized how consumers shop for and experience jewelry with a highly personalized and seamless omnichannel shopping experience. I am incredibly proud of our achievements over the past 20 years, and today's results reflect both the consistency and the resilience with which we've built our company. We've built something truly extraordinary that has redefined what luxury means, creating a globally loved brand with beautifully designed collections, and we've shown that purpose and profit can be a powerful force for good. We've been able to do this with an innovative asset-light data-driven business model while achieving consistent profitability quarter after quarter. As we look to the next 20 years, our optimism and ambition are as strong as ever. As one of the largest stand-alone jewelers, we are uniquely positioned to continue challenging the status quo, capturing market share and leading the transformation of the highly fragmented $350 billion jewelry industry. And now turning to our third quarter performance. I'm pleased to report that we delivered exceptional results across the board. Our net sales grew 10% year-over-year, surpassing our guidance and exceeding expectations. This strong performance included a return to growth in engagement ring bookings, our largest quarter ever in wedding and anniversary band bookings and an impressive 45% year-over-year growth in fine jewelry. We believe that we are continuing to outpace industry growth and build brand awareness. And we were able to do this all while delivering another quarter of profitability with Q3 adjusted EBITDA landing at $3.6 million, near the midpoint of our guidance range. I'm particularly proud of how we delivered this profitability with 2 key operational advantages that demonstrate the strength and differentiation of our business model. First, we showed our ability to maintain strong gross margins despite facing some of the most challenging input cost pressures our industry has ever seen. During the quarter, on average, gold and platinum prices were up approximately 40% year-over-year at or near all-time highs, while we also navigated new industry-wide tariff impacts. Despite these significant industry-wide headwinds, we maintained our gross margin within our medium-term target range of the high 50s. This speaks directly to the strength of our geographically diversified supply chain, our strong vendor relationships, our price optimization engine and our ability to adapt quickly in dynamic environments, advantages that truly set us apart from competitors. Second, we achieved remarkable marketing efficiency, driving 300 basis points of year-over-year marketing leverage while still increasing traffic and delivering double-digit revenue growth. Our ability to continually optimize our model and to leverage technology, including AI and machine learning has enabled us to keep refining how we allocate our marketing spend while also driving increased awareness and quality traffic. Now let me take you through some other highlights from the quarter. For Q3, total orders grew 17% year-over-year, while repeat orders grew 16% year-over-year, demonstrating strong brand resonance in attracting new customers as well as driving long-term customer loyalty. As you know, engagement rates are an important first purchase for our customer as well as a meaningful portion of our sales. Over the past several years, you've heard me speak about the multiyear market normalization following the peaks in engagements during 2021 and 2022. I'm thrilled to share that this quarter marks an inflection point in our engagement business with a return to year-over-year bookings growth. We've also seen continued stabilization in engagement ring average selling prices with sequential ASP growth in the last 2 quarters this year. This reflects the strength of our brand positioning and product assortment, especially our exclusive Signature collections. The Signature collections, exclusive collections that we are known for, grew nearly 3x faster than our total engagement ring assortment. This tells us that customers are increasingly seeking Brilliant Earth as a design leader for one of the most meaningful purchases in their lives. Together, our engagement ring acceleration demonstrates that the investments we've been making over the last few years are delivering strong returns as the bridal market recovers. And this momentum extends beyond our bridal portfolio. Our wedding and anniversary band assortment delivered double-digit year-over-year bookings growth, including growth in both men's and women's collections, resulting in our largest quarter of wedding and anniversary band bookings ever. Fine jewelry, which was 14% of our bookings in Q3, continues to be a standout growth driver. Bookings grew an impressive 45% year-over-year, driven by both unit and ASP growth, reinforcing the increasing resonance that we have as a fine jewelry destination of choice. As in engagement rings, our iconic fine jewelry collection significantly outpaced our total fine jewelry growth. This quarter, we added breathtaking new pieces to our design-leading [indiscernible] and Jane Goodall collections, collections that are increasingly establishing Brilliant Earth as the go-to brand for unique and distinctive fine jewelry. The Jane Goodall collection remains our best-performing new collection launch to date and is a testament to how customers connect with jewelry that combines exceptional design with meaningful purpose. Sadly, Jane passed away just a week after we launched our second collection with her. Our hearts go out to her family and The Jane Goodall Institute. Over the past 2 years, I had the honor of getting to know Jane personally. She was an innovator, disruptor and champion for good. We couldn't have asked for a better partner for Brilliant Earth. We're so proud to continue honoring her legacy through our ongoing partnership with the institute. Our business results reflect our continued strategic brand investments, which are delivering awareness and resonance. This quarter alone, we achieved incredible celebrity placements with stars like Justin Bieber, Sabrina Carpenter, Sydney Sweeney, Halsey, and Brittany Snow choosing Brilliant Earth for everything from music videos to the red carpet. These celebrity moments resulted in over 200 placements and generated over 13 billion impressions in Q3. Additionally, our partnership with Tennis Champion Madison Keys as our first athlete ambassador continues to resonate [indiscernible]. These authentic brand moments, combined with our strategic marketing investments are driving outsized success across earned marketing channels, ultimately translating to accelerated order growth and strong brand recognition. As we enter the holidays, I am confident we're more prepared than ever to deliver another successful season. We've approached this quarter with exceptional focus across the business to ensure we maximize this critical opportunity and build on our track record of strong holiday performance. We're exceptionally well positioned for the season from our showroom experiences and marketing strategy to a strong pipeline of new products, including our recent Love Decoded collection and the expansion of our incredibly popular 20th anniversary, Pacific Green Diamond into a new fine jewelry collection. We've curated an incredible range of giftable products under $1,000 that we believe will resonate strongly this holiday season. And as the holidays are also a peak engagement season, we are leading bridal design trends with new styles, including wider widths, bezel settings and fancy shapes alongside our timeless bestsellers and ready-to-ship preset engagement rings. This holiday, you will see us execute elevated visual merchandising, targeted showroom events like trunk shows and increased inventory to continue elevating our overall showroom experience. These investments reflect the application of our continuous test-and-learn approach and the growing sophistication of our omnichannel model. Our captivating delight in the details holiday campaign celebrates the artistry and craftsmanship behind our jewelry through whimsical illustration by renowned French illustrator, Geoffroy de Crécy, capturing both the precision of our collections and the joy of the season. We're still early in the season, but I'm pleased with the performance we're seeing across the business through October, including year-over-year bookings growth in engagement in wedding and anniversary band, strong outperformance in fine jewelry and year-over-year growth in both new and repeat orders. While metal prices and tariffs continue to present industry-wide headwinds, our agile data-driven business model and globally diversified supply chain position us to navigate these challenges and deliver successful business performance this holiday season, just as we've done throughout the year. Before I hand the call over to Jeff, I want to thank our incredible team whose dedication and execution continue to drive these outstanding results. This is just the beginning of what we can achieve as we leverage our 20 years of expertise of designing beautiful collections, driving brand strength and executing with industry-leading operational excellence to capture the enormous opportunity ahead in the global jewelry market.
Chuenhong Kuo: Thanks, Beth, and good morning, everyone. As Beth mentioned, we're pleased to report Q3 results where we continue to successfully drive our strategic initiatives, deliver strong top line growth and continued profitability and cash generation. Let me take you through the details for Q3. Q3 net sales were $110.3 million, up 10.4% year-over-year, exceeding the top end of our guidance range by approximately 40 basis points. Total orders grew 17% year-over-year and repeat orders grew 16% year-over-year in the third quarter, demonstrating the effectiveness of our customer acquisition and retention efforts and the resonance of our brand and products with consumers. Average order value, or AOV, was $2,209 in Q3. This represents a decline of 5.5% year-over-year in Q3 and up 6.5% quarter-over-quarter. Our AOV reflects the great success we have had broadening our overall assortment, including strong performance in our fine jewelry collection, which carries a comparatively lower price point, growth in engagement rings and the increases that we've seen in engagement ring ASPs this year. Q3 gross margin was 57.6%, within our medium-term gross margin target in the high 50s and a 320 basis point decline over Q3 last year. We were able to drive this robust gross margin even in the face of record gold and platinum prices and dramatic changes in the tariff environment that were not included in our Q3 guidance. This highlights the agility and resilience of our business model, including our data-driven approach to decision-making and our globally diversified supply chain. We delivered Q3 adjusted EBITDA of $3.6 million or a 3.2% adjusted EBITDA margin within the midpoint of our guidance range, driven by our compelling gross margins, significant year-over-year marketing leverage and overall OpEx discipline. This marks our 17th consecutive quarter of positive adjusted EBITDA and highlights the strength and sustainability of our business model. Q3 operating expense was 58.1% of net sales compared to 61.9% of net sales in Q3 2024. Our disciplined management of expenses while also driving growth and investing in the business is strongly demonstrated in the 380 basis points of leverage year-over-year. Q3 adjusted operating expense was 54.4% of net sales compared to 57.3% in Q3 2024. Adjusted operating expense does not include items such as equity-based compensation, depreciation and amortization, showroom preopening expenses and other nonrecurring expenses. Q3 marketing expense was 23.7% of net sales compared to 26.7% of net sales in Q3 2024. This represents approximately 300 basis points of year-over-year leverage, demonstrating our capabilities to drive significant marketing efficiencies while delivering strong top line growth ahead of expectations. Employee costs as a percentage of net sales were higher in the third quarter by approximately 30 basis points as adjusted year-over-year. This includes growth in showroom employees, including from newly opened showrooms as we continue to strategically focus on our showroom expansion. Other G&A as a percentage of net sales decreased year-over-year by approximately 20 basis points as adjusted for the quarter as we continue to prudently invest in our business while driving strong top line growth. Our year-over-year inventory grew approximately 28%, principally as a result of strategic procurement opportunities in Q3 to purchase inventory at advantageous prices in light of the current tariff environment as we did in Q2. Even with this year-over-year increase, our inventory turns continue to be significantly higher than the industry average, and we maintain conviction that the agility of our data-driven, capital-efficient and inventory-light operating model continues to be a compelling competitive advantage. We ended the third quarter with approximately $73 million in cash. On a trailing 12-month basis, we've generated approximately $12 million of free cash flow, demonstrating our ability to generate cash. And on a pro forma basis, adjusting for the onetime dividend and distribution of approximately $25 million completed in Q3, net cash would have ended the period approximately $4 million higher year-over-year. As you know, our Q3 results also include paying down our term loan, leaving us with no debt on the balance sheet. In Q3, we spent approximately $96,000 repurchasing our common stock. This takes our total spend on stock repurchases to date to approximately $1.1 million as of the end of Q3. Turning to our outlook for fiscal year 2025. We are raising our full year net sales guidance to 3% to 4.5% growth year-over-year. Drivers include improvements in engagement ring bookings year-over-year performance, strong fine jewelry performance, coupled with the fact that Q4 is the seasonally biggest fine jewelry quarter and the growth and annualization of our showrooms. In terms of year-over-year comps, our guidance also considers the fact that 2024 Q4 year-over-year net sales were comparatively stronger than 2024 Q3. For full year adjusted EBITDA margin, we expect that to be approximately 2% to 3% as we continue to manage for strong gross margins, drive marketing leverage for the year and balance making investments with driving near-term profitability. For Q4 gross margin, we do expect some impact from gold and platinum spot prices, which are both near all-time highs with gold and platinum spot prices up 19% and 20%, respectively, just in the time from our last earnings call to the end of October. We are also now incorporating the additional 25% tariff on India announced in August 2025. We continue to believe that we are better positioned than most to nimbly navigate this environment with our agile, data-driven approach and globally diversified supply chain. As mentioned before, we expect to drive year-over-year leverage in marketing spend for the year, including through the use of AI and machine learning to capture efficiencies. And we expect to continue to make near- and longer-term investments through the end of the year, including in employee costs and other G&A while managing the business for profitability. We expect that some metal and tariff headwinds will continue into Q1. We'll provide further perspectives on 2026 in our next earnings call. Our data-driven approach, including agile price optimization, disciplined expense management and our asset-light business model position us well to outperform the industry while delivering profitable growth. This quarter's strong execution reinforces our capability to identify and capture opportunities to drive sustainable, profitable growth and create value for our shareholders. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] our first question comes from the line of Oliver Chen of TD Securities.
Oliver Chen: Great quarter. As we think about engagement ring bookings, it was exciting that they returned to growth this quarter. How sustainable do you think the inflection here? And what are your expectations for bridal recovery versus fine jewelry mix over the next year? Second follow-up is the cost of goods sold and inflation that you're seeing now. You maintained some really high gross margins. What do you think will happen in terms of what you're trying to do with hedging going forward? It's a pretty dynamic environment. And how are customers feeling and executing around pricing from what you see in the market? It's a bifurcated consumer with money to spend, but the consumer is being choiceful in our view.
Beth Gerstein: Thank you, Oliver. Well, maybe we can start with that in terms of the consumer. We have been pleased with the consumer demand that we have been seeing. And I think you're right that we typically do have a higher income customer and that bifurcation, we haven't necessarily seen some of the volatility in the lower end of the market but have been really encouraged by the response that we've seen in terms of the products, the brand, the overall experience. So generally speaking, we're pleased with what we're seeing on the consumer side. As it relates to kind of the mix that we're seeing around the assortment, I think what we were really excited about during the quarter is just strength across the assortment. So from engagement rings to wedding bands and anniversary rings to fine jewelry, we really saw strength kind of across all of what we were intending to do. And that was, I think, something that we were excited by as well. I think engagement rings, we were really happy to see that bookings increase, and I think you remember last quarter, we saw a big unit increase as well. So we're not going to "call it." We do recognize there are puts and takes in any given quarter as it relates to bridal recovery, but we are pleased with what we are seeing, and we expect to continue taking share, outperforming the industry with the broader market as it continues to recover. So we're very well positioned. And then I would just say we continue to think we have very strong fine jewelry opportunity. It's a massive market. The growth that we're seeing is extraordinary with plus 45% in Q3, and we continue to think that there's an outsized opportunity there across all of our channels. So I would expect to see that mix continue to increase. Jeff, I don't know if -- I think maybe why don't we stop it there.
Operator: Our next question comes from the line of Anna Glaessgen of B. Riley Securities.
Anna Glaessgen: I'd like to start with the shift in adjusted EBITDA margin guidance. Could you put a finer point on what -- how you're contemplating the various headwinds between the metals pricing and the incremental tariffs? And to what extent you've taken price already to help compensate for some of these? Or could that be layering on to the model in the future?
Beth Gerstein: Maybe I can start a little bit on the price. As you know, we've been -- we continually optimize on our pricing. It's basically part of the test and learn culture that we have as a company. I will say that we've taken selective pricing increases. And I think especially as we're leaning more into Signature styles that are proprietary to Brilliant Earth, we've seen strong demand even as we've been increasing some of those prices. So generally speaking, I think there's -- we're on the journey. Q4, we find to be a more promotional season. So I think as we're thinking about price increases, we're much more selective as it relates to the Q4 environment. But generally speaking, I think we've done a really good job in terms of being able to absorb some of the costs, especially in Q3, if you look at how costs increased throughout the quarter, and yet we were still able to maintain that -- the margin that we expected and gave guidance to. I think that's a testament to the strong operational excellence that we have in order to do so. So Jeff, maybe you can talk a little bit about adjusted EBITDA guidance.
Chuenhong Kuo: Sure. I'd be glad to. And I think I'd just like to build on what Beth was saying in that we're able to adapt and adjust very quickly to dramatic changes in input costs, and you can really see that in the success of our Q3 results. We are factoring in ongoing metal and tariff changes into our Q4 guidance. As you know, both metal and tariff costs continue to change significantly since our last earnings call. As I mentioned, gold and platinum were up at 19%, 20% even in time just since our earnings call to the end of October, and we're also now factoring in the 25% additional India tariff, which went into effect in August. And so I think those factors are significant. We're able to adapt and mitigate significantly. For outlook for gross margin for the quarter, we do expect a similar year-over change in gross margin as we saw in Q3 as we continue to work to mitigate these changes that we're seeing. And we do believe that over time, we have additional tools at our disposal to continue to adjust and be nimble and really deliver strong top line and gross margin performance. And we think that we're better positioned than most and results that we've demonstrated over the last couple of quarters, I think, are real great illustration of our agility.
Anna Glaessgen: Turning back to the Bridal category. Could you remind us what the typical lag is between engagement and wedding bands, if there is one? Just trying to think through if there's a possible tailwind into 4Q and beyond from the inflection in the engagement in 3Q?
Beth Gerstein: Sure. I would say that typically, people get married about a year after they get engaged, and there's a very wide range there, including people who will buy a matching set upfront. But that's typically what the profile looks like. And I think the only thing I would add also is just that we're seeing nice repeat behavior. And so it's very important for us to be able to convert that engage our end customer to wedding band and then nurture them to other light stage moments. And so we're happy to see the repeat business that we've been seeing. And I think it's a testament to a lot of the activities that we're doing to drive brand loyalty.
Operator: Our next question comes from the line of Ashley Owens of KeyBanc Capital Markets.
Ashley Owens: Maybe just to start, Jeff, could you talk a little bit about the top line guidance for the full year? I know comp -- and then just backing into 4Q as well. I know comp isn't as favorable as 3Q, but I believe we're looking at a range of about 2% to 7% top line growth in the quarter, if my math is correct. Just anything to call out in terms of headwinds you're embedding, then any insight as to how we should bridge between those 2 goalposts? It sounds like October is off to a good start, if I'm not mistaken. So is there some caution embedded in that top line number?
Chuenhong Kuo: I would say that in terms of the top line guidance that we've provided, we're factoring in things that Beth was saying about what we've seen through October, including growth in engagement and wedding and anniversary bands and the strong outperformance in fine jewelry. And so we were glad to be able to raise our outlook for the year. We've seen good performance in the business overall. And it's a big quarter for us. The bulk of the holiday still lies ahead. So there's naturally some range in terms of possible outcomes. But I think we've seen strong performance. We're glad to see the inflection in engagement rings, and we think that we're very well positioned to deliver a strong holiday.
Beth Gerstein: And I would just add that, yes, the comps on Q3 were a little bit weaker than Q4 as well. So that's something that we factored in.
Ashley Owens: Okay. Got you. And then just as a follow-up, I noticed AOV declined less sharply this quarter. I think it was mid-single-digit declines versus the double digits we've been seeing for a few quarters now. How much of that improvement is driven by engagement recovery versus a broader normalization within that KPI? And then just as we look ahead, should we think of mid-single-digit declines as a more sustainable run rate moving forward?
Beth Gerstein: Jeff, do you want to take that one?
Chuenhong Kuo: Yes. I would say that factored into that is, of course, underlying, we've had outperformance in fine jewelry, which is a comparatively lower price point. We've seen that nice inflection in terms of engagement rings. And so that's contributing as well to the overall AOV mix. And I think one other thing that's noteworthy is just the sequential increases in engagement ring ASPs that we've seen in each of the last couple of quarters. And I think that really speaks to how people are resonating with our brand and our products. And so we don't have a specific number out there in terms of forward-looking AOV percents, but we do think that those factors like growth and success in fine jewelry will continue to contribute to the -- what happens to overall AOV, and we're glad to see the strength that we're having in engagement, both bookings and ASP.
Operator: Our next question comes from the line of Dylan Carden of William Blair.
Anna Linscott: This is Anna on for Dylan Carden. Could you just elaborate further on what efficiencies you're seeing in marketing to allow better sales and leverage in that line item?
Beth Gerstein: Yes. Thanks, Anna, for the question. We were really pleased to see the marketing efficiencies. As you picked up, we had about 300 basis points of marketing leverage. And I would say that we've driven this efficiency in a variety of different ways. We've been getting smarter about the allocation of spend across channels. We have a lot of sophistication across our team with machine learning models to help drive increased site conversion. We're seeing strength in the showrooms, which are always a nice lever there as it relates to driving marketing efficiencies as well. So overall, we've been -- we were really happy to see that we had such strong sales growth even as we were able to be much more efficient about deploying our marketing spend and continuing to drive that brand awareness that's so important strategically for us.
Operator: [Operator Instructions] For our next question, we welcome back Oliver Chen with TD Securities.
Oliver Chen: The cash position is also attractive and brilliant. What are your capital priorities as you think ahead -- as you think about marketing versus collections and international expansion in terms of cash and CapEx? And then on this quarter that we just had, what factors drove the upside in terms of find versus engagement or existing versus new customers, if there were factors that you'd call out?
Beth Gerstein: Sure. Well, maybe I can start with that. Overall, I feel like we've been doing a really fantastic job in terms of driving an optimized curated assortment. So the products that we're offering are really resonating with our customers, both in terms of the key diamond collections, those essentials that everybody wants in their jewelry box as well as the designs that we're increasingly known for with our iconic new collections. For example, our [indiscernible] expansion, the Jane Goodall collaboration. All of those, I think, were really received very well by our consumers. And I think the marketing campaigns that we do behind them have been also a standout and helped really break through and are resonant in today's environment, especially for that key consumer that we have. So really in terms of driving upside, it was fine. In fine jewelry, it was repeat, it was new, it was really across the collection. So I would say that there were bright spots all around. As it relates to how we think about our investments, maybe I can start and Jeff, you can please add on. I think you're right that we have a really strong balance sheet with a nice cash position. So that gives us a lot of flexibility. And we continue to invest in opportunities that we see a strong return on investment. So that continues to be expanding our showroom footprint, looking at how we drive brand awareness, but we do it all with a very keen eye towards that ROI. So we have high benchmarks. We continue to see opportunity to invest and have seen good returns on those investments. But I would say that's really the -- how we think about overall that allocation going forward.
Chuenhong Kuo: Okay. And on the lab diamond trends that you're seeing now, lab has been an important gifting factor and more. What are the latest lab diamond demand and pricing trends that you'd highlight in your forecast for how that market is growing?
Beth Gerstein: Sure. Well, what I would say about the lab diamond product is that there's very wide consumer awareness at this point. I think consumers love the product. On the fine jewelry side, we see a lot of opportunity there and have seen really nice sales growth as it relates to the lab diamond assortment. I think it provides accessible price points for consumers. And that's why you see so many tennis bracelets and more and more, I think, embracing some of the fine jewelry trends with layering multiple earrings, et cetera. So overall, I think that it's been great at expanding that accessible market. And because we've been leaders introducing lab diamonds over a decade ago, I think we've been at the forefront of that. I think one more thing I would just add is that I mentioned we are really excited about the holiday season. Part of that is we've curated an exceptional collection under $1,000. And I think the lab diamond component of that is really exciting.
Oliver Chen: That was the last question, Beth, on this holiday, you called it out. Why was this different this year? Or what are your thoughts in the environment that make it conducive to the strategy you're speaking to?
Beth Gerstein: I'm not sure it's necessarily different. I just think that we continue to see opportunity, and we're very prepared in terms of the holiday season. We've been doing really well across some of the key moments. So Valentine's Day, Mother's Day, I think we just do a really fantastic job with the team of executing well in key holiday moments.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Beth for closing remarks.
Beth Gerstein: Thank you, everyone, for joining us for our Q3 quarterly call. Hope you all have a fantastic holiday, and we look forward to talking to you in Q1.
Operator: All right. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.
Beth Gerstein: Thank you.